Operator: Good day, ladies and gentleman, and welcome to the First Quarter 2007 Autodesk, Inc. Earnings Conference Call. My name is Alexes, and I will be your coordinator for today. [Operator Instructions]. I would now like to turn the presentation over to your host for today’s call, Ms. Sue Pirri Vice President of Investor Relations. Please proceed, ma’am.
Sue Pirri: Thank you operator, and good afternoon everyone. Thank you for joining us as we report results for our first quarter of fiscal 2007. With me today are Carl Bass and Al Castino. Today’s conference call is being broadcast live through an audio webcast. In addition, a replay of the call will be available by webcast on our website www.autodesk.com/investor. During the course of this conference call, we will make forward-looking statements regarding future events and the future performance of the company, including our guidance for the second fiscal quarter and fiscal full year 2007, the market opportunities for our products, our efforts to increase subscription and upgrade revenue on market opportunities in various geographies. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. Please refer to the documents we file from time to time with the SEC and specifically our 10-K for fiscal year 2006 and our periodic 8-K filings. These documents contain and identify the important risks and other factors that may cause the actual results to differ from those contained in our forward-looking statements. In adherence for regulation for disclosure, Autodesk will provide quarterly information and forward looking guidance in its quarterly financial results press release and its publicly announced financial results conference call. We will not provide any further guidance or updates on our performance during this quarter unless we do so in a public forum. Autodesk does not assume any obligation to update the forward looking statements provided to reflect events that occur or circumstances that exist after the date on which they were made. During the call, we will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is set forth in our press release issued today, May 18th, and is available on our website at www.autodesk.company\investor. Now I would like to turn the call over to Carl Bass.
Carl Bass: Good afternoon everyone, and thank you for joining us. In a minute I will discuss highlights for the quarter and then Al will provide a detailed review of our financial performance. But first I would like to take a minute to address the change in leadership. Just a few weeks ago, Carol Bartz stepped down from the position of CEO after 14 years. She built Autodesk into the great company it is today and she deservedly gained the respect of Autodesk employees, the investment community and other business leaders. Over the past five years, I had the opportunity to work very closely with her, most recently as COO. Together we refined the company’s strategy and developed the organizational talent required to execute on our ambitious plans. As I look at the opportunities in front of us, I believe new strategies are prepared us well and while there may be some changes at Autodesk as I take the role of CEO, I expect most of those changes will be evolutionary in nature rather than revolutionary. Now let’s talk about our first quarter. Today Autodesk reported another terrific quarter of financial performance; revenue was a record $436 million, a 23% increase over the last year. On a constant currency basis, our growth would have been 28%. Diluted earnings per share were $0.20 on a GAAP basis, non-GAAP diluted EPS of $0.32 excludes approximately $0.07 related to the implementation of stock-based compensation expenses, $0.05 of litigation related expenses, and $0.01 of acquisition related amortization expenses. During the quarter, we achieved record results on many of our most important business matrix including new seats revenue, 3D revenue and subscription revenue. We had record cross-grade revenue for a number of our products, and AutoCAD and LT had record quarters. As you know, this is important because strong growth in our 2D business fuels our future 3D growth opportunities. While delivering these great results, we are also executing on a number of tactical and strategic fronts. During the quarter, we completed the acquisition of Constructware and began the process of integrating Alias into Autodesk. We continue to make progress in the transition of our advanced systems product portfolio from SGI workstations to Linux. In fact, all of our systems products are now available in Linux. We also synchronized retirement of our Design products with the launch of the new products, and yet with all this to focus on through our diversified portfolio of our customers, industries and geographies, we were able to exceed our revenue guidance and deliver record revenue. Our Productstream is the foundation for our strong performance. In March, we delivered another strong annual update to our portfolio of design software solutions. For the first time in 14 years, we raised prices of the new releases to reflect the added value we were delivering to our customers. Our 2000 family includes new versions of more than 25 products including the most advanced 3D modeling, 2D drafting and conceptual design, and collaboration products on the market. Market response to the new products has been terrific. In fact, penetration of the installed base with our 2007 family products is higher than any of our previous versions at the same time in the release cycle. With strong new releases in the market, customer demand for Autodesk products continues to be robust. Compared to last year, revenue from new seats increased 19% and 25% constant currency. Once again, sales for new seats and emerging businesses were approximately two-thirds of our revenue in the quarter. This continues to be an indicator of the underlying strength of our business. Our 3D solutions; Inventor, Revit, and Civil 3D continued to gain market share as customers across all industries recognized the benefits of adopting model based design. We shipped more than 31,000 commercial seats of our 3D products. 3D revenue increased 53% in the quarter. 3D now represents 20% of total revenues. Revenues from our Inventor family of products increased 17% over the last year and we shipped more than 10,000 commercial seats. We experienced some exceptional growth in this quarter in AMEA. Japan’s growth was slower than in the past few quarters and there were some timing issues in the Americas’ performance, which we expect to reverse themselves in Q2. Despite these occurrences, for both the product and the channel perspective, we believe we are very well positioned in the market. Civil 3D had a terrific performance in the quarter, growing revenue of 123% over the last year and shipping nearly 8,500 commercial seats. Our Revit family of products, Revit Building, Revit Structure and Revit Systems had an outstanding performance again. Revenues increased by 145% over the last year, and we shipped over 13,100 commercial seats. During the quarter, we added to our family of building information modeling solutions by launching our new product Revit Systems, which extends building information modeling to mechanical, electrical and plumbing engineers and designers. With the introduction of Revit Systems, we are uniquely positioned to offer a comprehensive integrated information model to the building industry. While model based 3D products are already 20% of revenue, we are still in the early stages of penetrating our large installed base of 2D users and conversion users of competitive legacy systems. We estimate that approximately 10% of the 2D bases have converted to 3D. Compared to Q1 FY‘06, we have increased 3D penetration of our installed base by two percentage points, yet 3D generated approximately $31 million in incremental revenue; clearly the opportunity is significant. Emerging economies continued to be an area of very strong performance for Autodesk. We are uniquely positioned to benefit from the major trends in developing economies. Trends like the unprecedented development of the infrastructure buildings and the rapid expansion of the consumer class are driving the demand for Autodesk solutions in the emerging economies in Asia-Pacific, Latin American, Eastern Europe and the Middle East. Our product innovation and quality coupled with quick implementation and ease of use produce the fast return on investment these customers require. Revenue in our emerging economies increased 40% over the last year and 44% on a constant currency basis, and now represents 12% of total revenues. Combined subscription and upgrade revenues increased 36% over the last year to $162 million. Once again, subscription showed terrific performance in Q1. Our customers recognized the value of our subscription program. Subscription revenue increased 47% in the quarter at $87 million and subscription attached and renewal rates in Q1 were the highest yet. In fact, our success with attaching renewals from $39 million sequential increase in deferred subscription revenue, our largest increase in any quarter. Upgrade in revenue including cross grades increased 25% over the last year’s $75 million. Cross grade revenue was particularly stronger in the quarter, increasing more than 50%. Consistent with our previous quarters, combined revenues from subscription and upgrades Q1 represented approximately one-third of the total revenue. M&E performance did not meet our expectations this quarter. Advanced systems revenue declined by 20% over the last year. The advanced systems business is transitioning away from proprietary high end SGI workstations to Linux based solutions running on standard PCs. Through this transition, our customers are obtaining better price performance and Autodesk is moving toward a business model with lower revenue due to lower cost hardware, but more software like margins. Of course, this transition became more important with SGI’s recent bankruptcy, which introduces more volatility into our systems’ performance. All of our advanced systems products are now available on Linux, and revenue from our Linux based products increased 64% over the last year. While customer reaction to the Linux based offerings has been very positive, the decision to move was made only after extensive demonstration and testing. As customers evaluate these new platforms, we believe the Open Systems approach will appeal to more users and ultimately expand the margin. We are reviewing every operational aspect in the advanced systems business to optimize its long-term performance, but believe their revenues will be impacted by this transition for the next several quarters. Our animation businesses are slower than normal organic growth as we integrated two similarly sized businesses. We closed the Alias acquisition in January and began our integration process in the first quarter. During the quarter, we rationalized the channel and the direct sales force, provided new quotas for the combined sales team, created clear product positioning for both 3DS Max and Maya and integrated the back-office. These activities and others created some disruption to the business in the quarter. Organic growth in the animation business was 5%. Animation revenues increased 78% including Alias. None of these issues are of a lasting nature and we believe animation revenue will be back on track in the second half of the year. Now I would like to turn it over to Al for detailed analysis of our financial performance.
Alfred J. Castino: Thanks Carl. Once again, Autodesk delivered great performance. As Carl said, net revenue from the quarter $436 million, 23% higher than last year and 28% higher on a constant currency basis. This includes revenue from Alias’ $50 million, after the write-down in deferred revenues required by GAAP. GAAP diluted earnings per share were $0.20 cents, non-GAAP diluted EPS was $0.32. As expected, the acquisition of Alias and Constructware increased our cost and expenses by more than $20 million on a non-GAAP basis and decreased non-GAAP EPS by approximately $0.02 in the quarter. Each of our geographies grew substantially in the quarter. The Americas had a great quarter growing 30% over the last year’s $170 million. AMEA grew 23%, $164 million and 33% on a constant currency basis. Asia-Pacific revenues grew 12% to $101 million and 19% constant currency. This was the first quarter that Asia-Pacific revenue had exceeded $100 million. Although there was some weakness in Japan, our revenues were down slightly from the prior year and grew 8% on a constant currency basis. Looking at the divisions, platform technology increased revenue 70%, $207 million. Manufacturing solutions revenue were $75 million, an increase of 27%. Without the results of the Alias products, MSG grew revenue 19% and we shipped more than 52,000 manufacturing seats in the quarter. Revenue for building solutions increased 43% at $53 million. Infrastructure solutions revenue reached $51 million, an increase of 31% and meeting our revenue was 47 million, an increase of 13%. Without the result of the Alias products M&E was down 12% compared to last year. GAAP and non-GAAP gross margins were 89%. GAAP cost of goods sold includes one million of stock based compensation expenses and one and a half million of acquisition related amortization expenses. Our gross margin increased one percentage point from last year to 89%, penetrating from continued strong software license sale and productivity measures in our operations. Our cost of sales for the quarter included shipping and material costs for the upgrades of nearly one million subscription customers. GAAP operating expenses of $327 million include 20 million of stock based compensation expenses and two million of acquisition related amortization expenses. GAAP operating expenses also include 70 million of litigation expense related to an unfavorable jury verdict in a patent-infringement suit. This item was not anticipated in our Q1 guidance and we plan to vigorously appeal the ruling. Non-GAAP operating expenses were $288 million. Operating income was $59 million GAAP, the non-GAAP operating income was $101 million. Our operating margin was 40% GAAP and 23% non-GAAP excluding the items I mentioned before. Without Alias, our non-GAAP margins would have been 25%. Our tax rate was 23% this quarter, GAAP and non-GAAP. Net income of $49 million GAAP and $80 million non-GAAP. There were 247 million shares using calculating non-GAAP diluted earnings per share. Total shares outstanding remained flat at 230 million. The changes in foreign exchange rate cost us five percentage points of growth and $0.05 per share compared to last year. Coming to the balance sheet, cash and investments were $386 million, approximately flat with last quarter. Cash from operating activities increased to 90 million compared to 63 million last year. As expected, the working capital timing issues noted in Q4 reversed in Q1. We received $49 million from employee stock plan, we used $56 million to buy back 1.7 million shares of stock and 56 million for the acquisition of Constructware and $13 million investment in an outsourced R&D vendor in China. Although deferred revenue increased $102 million from Q1 of last year to $327 million including $41 million classified as long term. Deferred subscription revenues were $252 million, an increase of $39 million, our largest sequential increase ever. Total backlogs including deferred revenue increased $336 million. This includes product backlog at $9 millions, down from $17 million last quarter. Travel inventory remained slightly below our normal range of three to four weeks. DSO was 58 days, while our collections and accounts receivables AD remained in historical ranges, the increase in DSOs were driven by two factors. First, record subscription booking is illustrated by significant increase in deferred revenue. While strong subscription bookings are very good for our business, they do put pressure on calculated DSOs since receivable balance of corresponding revenues are recognized over the subsequent 12 months. The second factor is stronger than normal sales in the second month of a quarter. As a result of the simultaneous retirement and new product launch, March represented a larger percentage of sales in the quarter out of the normal pattern. End of quarter linearity was not a factor in the quarter however, as April revenue was 36% of total sales, which is in a normal range. Overall, I’m very pleased with our Q1 financial performance, now let’s look at guidance. We are reiterating our previous guidance for Q2. Possible upside in the quarter from current more payable foreign exchange rate is offset by advanced systems and possible continued slower growth in Japan. As a result, we expect revenue in the range of $440 million to $450 million. We expect GAAP EPS to be in the range of $0.26 to $0.28. Non-GAAP EPS excludes the impact of amortization on intangibles and stock based compensation expenses and is expected to be in the range of $0.34 to $0.36. The acquisition of Alias and Constructware will continue to be slightly dilutive EPS on Q2 of this year. Our guidance includes expected dilution of $0.01 per share on a non-GAAP basis in Q2. For fiscal 2007, we are expecting revenue in the range of $1.81 billion to $1.85 billion. We have included some upside in our forecast for the second half related to current favorable foreign exchange rate. As usual, our guidance takes into account the day’s foreign exchange rate, but does include some level of barter against future shrinking of the dollar. We expect GAAP EPS to be in the range of $1.07 to $1.15, non-GGAP EPS is expected to be in the range of $1.45 to $1.53 excluding the impact of amortization of intangibles, litigation expenses and stock-based compensation expenses. You should note our guidance now anticipates a 24% tax rate for the remainder of the year, as Congress has not yet reviewed the federal Research and Development Tax Credit. Now let me turn back over to Carl.
Carl Bass: Thanks Al. Before we take your questions, I would like to summarize a few key thoughts. Autodesk had another outstanding quarter. Through our portfolio of businesses, we were able to manage a number of moving parts and deliver record revenues. Customer demand for Autodesk solutions is very strong. Revenue for new seats in emerging businesses continues to be approximately two-thirds of total revenues. Our 3D solutions continued to increase market penetration. Revenue from the new commercial seats of 3D increased 51% in the quarter and was the largest driver of new seat growth again this quarter. Despite our success with 3D, penetration of our installed base remains very low, presenting an enormous future opportunity. We continue to execute on our strategic initiative to increase subscriptions. Subscription attached and renewal rates continued to rise and drove a 47% increase in subscription revenue and $39 million increase in deferred subscription revenue in the quarter. Subscriptions provide a predictable consistent revenue stream in place of the continued focus on the sides of the upgrade base and upgrade revenue. And most importantly, the world of our customers is changing profoundly. They have a driving need for productivity and profitability in a very competitive global market. Autodesk is delivering superior solutions with the innovation, ease of use and that are customer’s demand. In fact, we continue to generate strong growth in revenues from new seats and increased our market share. Operator, we are ready for questions.
Operator: Thank you sir. [Operator Instructions]. Your first question comes the line of Jay Vleeschhouwer with Merrill Lynch please proceed, sir.
Jay Vleeschhouwer - Merrill Lynch: Thanks, good afternoon. Carl, a few questions for you. First, in your remarks you had mentioned weakness in Japan couple of times, which is from a peculiar outcome given that we see the strength in Japan, macro economically we see that Adobe had a good quarter there, not withstanding what are otherwise seen in US and Europe, so what’s your issue in Japan?
Carl Bass: I think one thing in particular Jay, is if you look at companies who are more comparable to us than Adobe, I think you’d see more similar patterns than you do with Adobe. Specifically you know, relating to us -- you know, Japan has historically been a very 2D market, has not done as much with 3D, as I think some of the initiatives there just having you know, come up to speed as fast as they have in other parts of the world.
Jay Vleeschhouwer - Merrill Lynch: All right. Going back to something you said at the analyst meeting having to do with -- longest from growth forecast over the next number of years, could you address something you could have talked about, in a bit more detail than which is the sales in channels and that gets you to that double ended revenue over the next four or five years? You know, the channel has improved obviously, we’ve had that conversation, but to get to where you want to be by Fiscal 2011-2012 to double the company, what more do you need to do to get as far as sales and coverage are concerned?
Carl Bass: I mean, I think that some of the things we’ve talked about already. I mean, I think one of the important things you know, is the capacity you know, obviously to do twice as much business, we need a larger channel. We did investing in the channel for a number of years that we think it’s showing good results. You know, some of it needs to come in already existing places obviously (audio gap) economies, that’s a newly developing part of our channel. You know, and I tried to point out over time the difference between the number of companies or actual value-added resellers and the number of people selling our solutions. And so I think there has been a stone moved in direct correlation. I think you can see in places where there is some consolidation amongst the resellers, but there’s also a great increase in the number of people on the stream. We have also in various times talked about not only the capacity, but the capability of the channel. And as you know, we continue to push more vertical products, more 3D products -- one that is more specifically geared to particular disciplines, we also need to increase the special updation of the channel. So we have done that you know, helping our channel grow and grow in a profitable way. You know, and I think we have put some programmatic stuff in place that -- and sends the channel for things that are aligned with our strategy, and so we have talked about some of that. And some of the stuff I talked about particularly we started in the Americas what we have now rolled out in other parts of the world and we will continue to make sure you know, that our channel partners are aligned in selling us 3D solutions.
Jay Vleeschhouwer - Merrill Lynch: Just two last ones then, over the two fiscal years ending fiscal ‘06 -- January this year, you roughly doubled the number of subscribers to 800,000 or so. Do you think it’s feasible for you to double the subscriber base again over the next couple of fiscal years? And then finally, with respect to verticals by geography, you mentioned that Japan is relatively 2D-rated still but, you have also mentioned that Levit for instance, does well here in China. Can you comment some more on what you are saying in terms of 3D and vertical momentum by GEO?
Alfred J. Castino: Sure, Jay. The first one is that we haven’t really given any prediction about the size of the base you know, in terms of the subscriber base going out a few years, you know, we tend to do that once a year at our annual event in New York. But I mean, I think if you extrapolate from some of the tax rates that we have been giving when you look at the new seat growth, you are going to continue to see growth. As you saw this quarter, a group faster than it has grown before, so rather than flattening out it’s continuing to grow at a healthy pace, and I think you can do some of the math decisions you know, where that would take us to.
Carl Bass, President and CEO: On the vertical updation by GEO, I mean Japan is kind of unique in the world, in their fascination around 2D and you know, the use of 2D in their design processes. If you look at most of the other places in the world there is a strong move to 3D and we don’t see much differentiation in some places as you pointed out, some of the emerging economies are going forward even faster than the industrialization in terms of their adoption of new technologies. Economies are growing you know, they have pressure in terms of being able to hire a workforce. They are working with you know, generally speaking, some of the more aggressive companies that are in the industrializations, and so they are moving incredibly quickly. I think Japan is just kind of in a unique spot and China would see good adoption of Civil 3D, Revit and Inventor. You know, so all the 3D solutions in China I think Japan just stands out as something unique.
Jay Vleeschhouwer - Merrill Lynch: Thanks Carl.
Operator: Your next question comes from the line of Richard Davis - Needham & Company. Please proceed, sir.
Richard Davis - Needham & Company: Thanks. Moving on to a detailed question on the animation side of the business? Why do you see the growth of that rebounding, what are the signs that tell you that the reminder of the year looks good?
Carl Bass: So, I think there are a couple of things. It’s mostly you know, the involvement that we’ve had with our customers including our major customers. We’ve just come through a couple of a large trade shows. We have talked -- we have talked with our major customers about what their plans are, going forward. You know and so, specifically looking at our customer base we have confidence in what they’re going to do. Also when you look at the trends affecting the industry in terms of the development of both movies and games, those continue to be accelerating. So I think the macro trends are good for the industry. You know, and the specific things that we are seeing with our customers indicate you know, to the level of business we expected. You know, when you look at -- while we express disappointment you know, it’s relatively small in the scheme of things you know, given the integration what was going on.
Richard Davis - Needham & Company: Okay and then I realize that it’s a long-term effort. Are there any things that you could talk about, as we are going to reduce piracy and increase you know, paid for software, I know that will take many years, but where do you think we should be looking at.
Carl Bass: I think there are a couple of things you know, that we are doing and you know, it may take different forms. I mean, the most effective thing that we found with fighting piracy you know, when you think about it, it’s an enormous opportunity. I mean, that’s the first thing that people need to get their heads around is that you know, there are -- in some of the countries that pirate the least, the piracy rate is 30% and in places in which there is more extreme piracy, it exceeds 90%. You know, so it’s very unusual to have a business in which that much of your product is actually stolen. So that presents an enormous opportunity. What we’ve seen is that countries go through a -- you know, different processes you know, different development cycle in terms of their respective intellectual property. And so while many of them start out either you know, they almost have you know, kind of like a callous disregard for IT in the beginning. Over time they recognize that they want to advance their own industries including their hi-tech industries in particular, that they need to have IT protection. And so while it is small things like the WGO, and the collection of tax revenues that encourages them to do it, I think the thing that it’s almost -- is when they want to develop you know, those industries within their economy. They certainly see that in places like India and China you know, in their quest you know, China, is not to be just low cost manufacturing, and India to move just from IT outsourcing. Protection of intellectual property has become more and more important. So we continue to you know, work on this. As you pointed out, I don’t think it’s a short-term thing. You know, a substantial amount of revenue comes today from the enforcement of you know, of the IT as well as our anti-piracy efforts. I think it will continues to the future. But one of the things to remember is that while we’ve seen this taking place in almost every economy, is when people decide to legalize, they tend to legalize the things that they’re already using. I mean, it makes the most sense. And so being the standard in the industry is good for us and being the number one used product is also good because eventually, as people you know, tend to legalize we believe we will get more than our fair share of the business. One of the other interesting trends that I think is happening along with that is because so many multinational companies or companies with their bases in industrialized nations are doing work in places like China, India, Eastern Europe, they are carrying forth their idea of protection of intellectual property and insisting on some of their partners, which is another trend you know, to address going into the future.
Richard Davis - Needham & Company: That’s very good, thank you very much, that’s helpful.
Carl Bass: Okay.
Operator: Your next question comes from the line of Sterling Auty with J.P. Morgan, please proceed.
Sterling Auty - J.P. Morgan: Yeah, thanks. Carl, I just want to go back to the comment you made during the prepared remarks, I believe -- make sure I heard it correctly. Did you say that an increase of 2% penetration in 3D to leave you $31 million incremental revenue?
Carl Bass: Yes.
Sterling Auty - J.P. Morgan: I mean if -- forward, does that basically say that every one percent increased penetration is worth about $15 million, and you’ve got you know, say a billion or so of additional 3D opportunity in front of you?
Sue Pirri: Sterling, it was $31 million just in the one quarter, not for the year.
Sterling Auty - J.P. Morgan: Okay, so given that the subscription then you got a kind of increase that to annualize --
Sue Pirri: Yes, right.
Sterling Auty - J.P. Morgan: Okay, fair enough. And then the second comment is around the integration on the -- you know, the Alias and the others. I guess is price integration and kind of showing the roadmap going to be key to giving out to where it needs to be in the short-term or is it just the blocking and tackling around you know, the process, and the logistics before you can get back out into the point of attrition?
Carl Bass: I would say it was 60% blocking and tackling operational issues integrate into back office. You know, there are all kinds of things you will uncover during an acquisition. You know, the way they license their products, the way we license ours. They look for more on the surface, you dig down a little bit, I mean these are just issues to wrestle through, so a lot of it is actually operational. I think that one thing customers always ask is, we’ve gone through this with any -- either integration of an existing product or development of new products themselves, customers want to be reassured that the platform they’ve chosen is going forward. We’ll just get back to your roadmap questioning. You know, I think the biggest -- you know, we can talk all we want, but the biggest sign to the market will be the period in which we released new releases of those two products and when people see the investment we are making in the new products and recognize the advances going forward, it does a lot more than any of the words we can say around the product roadmap, so many customers want some reassurance about where the products are going, going forward. But I think it’s one of those things where we have to show with actions rather than words.
Sterling Auty - J.P. Morgan: Okay, great. Thank you.
Operator: Your next question comes from the line of Brenden Barnicle with the Pacific Crest. Please proceed.
 Brenden Barnicle - Pacific Crest Securities: Thanks, I’ve got a couple of quick questions. Any numbers on the contribution from Constructware during the quarter?
Alfred J. Castino: No, we don’t. We bought it during the quarter in a relatively small piece to our numbers, so we did talk about how the culmination of Constructware and Alias cost us a couple of cents in Q1 and then about $0.01 in Q2, but it’s too small for us to go break it out separately, it is relatively small.
Brenden Barnicle - Pacific Crest Securities: Great. And then the strength in Europe was interesting. You know, overall Europe hasn’t had extremely strong economic results -- particularly good strength there. What in particular was driving that?
Carl Bass: I think a little bit is the flip side of this -- you know, the Japan comments that I made is that you know, Europe you know, the more developed parts in the emerging economies have really latched onto 3D and see it is a way to drive their productivity. And so I think it’s the prior success we’ve had with 3D is responding you know, continued to grow. I think that’s probably the biggest thing and then I think some credit to the team there as they can continue to do a great job of executing.
Brenden Barnicle - Pacific Crest Securities: Now are that probably market share gains in Europe do you think, or is that new or 3D conversions.
Carl Bass: Absolutely they’re market share games, I have made comments in the past about market share and we continue to grow more quickly than any of our competitors and so we are absolutely gaining market share. If you think about it rather than arithmetically, just well, if you know, we have lots of anecdotal -- systems particularly, they mentioned some of those competitors, more legacy. Systems we either have, systems that are local to a particular country, you know they were replacing all these older legacy systems at a much more extensive and peculiar.
Brenden Barnicle - Pacific Crest Securities: Great, and then just lastly, 3D was up 50% obviously a great number but it had been up you know, close to a 100% for the last couple of quarters, any reasons for that deceleration, the -- large numbers or what are we looking for there?
Carl Bass: No, I will see this is something that over time, I think we will get better trend data, I would know, look at each quarter to be able to do and there is a lot of dynamics in the quarter and so I would not take that as an indication of exactly where we are going, but I think it will smooth out over time to a more normalized stream.
Brenden Barnicle - Pacific Crest Securities: Great, thank you very much.
Operator: Your next question comes from the line of Bent Thill, with Citigroup, please proceed.
Thill Bent - Citigroup: Thanks, you’ve raised prices recently. Maybe you can get us a sense of what the response you’ve been receiving from the channel. I think that was the first time you’ve raised pricing, I think it was 13 or 14 years from -- correct me if I’m wrong?
Carl Bass: Yeah, so its one of the first acts any new CEO of this company seems to make. In fact, the last time we raised prices was just after Carol joined the company, just coincidentally. We raised the prices in a rather modest way and so -- there has been almost no response at all from either our channel partisans or our customers.
Thill Bent - Citigroup: Okay, you reiterate in Q2 that you raised numbers for the year, the factors that are more bullish for the second half of the year is that -- system issues will go away. What’s leaving you more bullish about the second half?
Alfred J. Castino: Well, what we really did with the second half is we looked at the currency impact, the currency rates are certainly more payable than they were three months ago and we are assuming we don’t get all of that. We really tried to conserve on the currency rate but on the other hand with some reasonable buffers, that take our numbers up -- but really what we did is we raised the bottom end slightly because we were attached, we had proceeded already and then if you look at the top end, that’s where we took in a good portion of the currency benefits the remainder of the year and our assumption again is that any weakness in advanced systems and perhaps Japan, we got currency to more than offset that.
Thill Bent - Citigroup: Okay, and just real quickly -- the migration of Linux, how long have those projects been shipping, I imagine that you made the migration over but how long have they been in the market now?
Carl Bass: There is -- really, I mean they are really this quarter -- this last quarter or the quarter before the introduction. We released some over the last year but we completed it in the, kind of in the last three months. So we had a --
Carol Bartz: In -- in that first quarter the last one became available worldwide. But the first Linux product was launched about a year and a half ago and they have been rolling out throughout the year and the last one became available worldwide in first quarter.
Thill Bent - Citigroup: Okay, thanks.
Operator: Your next question comes from the line of Heather Bellini with UBS, please proceed.
Heather Bellini - UBS: Hi, thank you. I was just wondering if you could give us a comment on the global promotion that rolled out, I guess in the middle of last quarter, if you could talk about what type of success you are seeing with that and what type of success would you expect to see going forward in terms of migrating legacy customers to -- to newer products, thank you.
Carl Bass: We -- we rolled out something around our legacy customers, you know legacy -- our term to describe people, who pass by all the options that are created a long away. Many, which continue to use our products, so this is our way of extending a privilege to them, you know we give them a promotions upgrade, we think you after -- you know having passed on three releases we’ll see the benefit of the new releases, and so that’s the promotion that we rolled out. What it is -- it’s a discount and less than that they would have gotten but its still a significant discount -- number of people.
Unidentified Company Representative: And they get a bigger discount if they sign up for subscription -- to upgrade and then sign for subscription.
Heather Bellini - UBS: Its like -- its part of the -- is part of the reason perhaps why you’re -- why you’re more bullish on the second half of year partly due to the expected success with that product or is it really more the currency that Al mentioned before.
Carl Bass: I think we’re really -- I mean we’re really looking to currency, we are certainly looking to volume in certain markets, you know we really think -- all those factors. I think it’s a little bit too early now to say -- you know to really predicate much on what’s going on with the legacy promotion, we’ll know more as we go further into the year.
Heather Bellini - UBS: Okay, thank you.
Operator: Your next question comes from Vicram Cherimonny with Lehman Brothers, you may proceed.
Vic Cherimonny - Lehman Brothers: Hi, its Vic Cherimonny, just a quick for Al. Al, product backlog was down from the $17 million last quarter to about $9 million, I understand its more numbers but can you just give us some reasoning as to why that was the case and what your expectations are going forward, and then I have one follow up.
Alfred J. Castino: Its really as small numbers and -- and it’s a number we try to try to manage on top of it, and I also don’t want to forecast, its within normal range -- have some backlog in this business and it happens because at times you don’t have the hardware, at times you always come late in the quarter. So it isn’t really something I would take as an important indicator of trend.
Vic Cherimonny - Lehman Brothers: Okay, and then also on cross revenue, I believe you already mentioned it was directed revenue. I might have missed the year over year gross number, did you guys give that for Q1?
Carol Bartz: It was up 50%.
Vic Cherimonny - Lehman Brothers: Okay, thank you.
Operator: Your next question come from the line of Gene Munster with Piper Jaffray, please proceed.
Gene Munster - Piper Jaffray: Hi guys -- everybody, on the topic of the shifting from 2D to 3D you included 2007 some basic 3D functionality probably to expose some of your customer base to -- to that. Have you seen maybe some change in terms of early indication that that’s actually working and may be a broader question is since March 15 have you seen -- I guess you’ve had two months to kind of assess the business -- therefore what have you have seen on that front?
Carl Bass: On the first one, I’d say -- you know the information is still, you know really anecdotal. I think the biggest -- you hit right on in terms of the motive. The idea is as we talked about when you have 2D users is to get them familiar with 3D designs, 3D modeling. In fact AutoCad has 3D functionality, we really just modernized it but with an eye towards making it easier to move. I think the biggest benefit that we have is customers who are loyal long-term customers of AutoCAD appreciating that we put this functionality into AutoCAD you know, I think at time they felt like we were pushing them too hard to move to 3D and so you know, they feel like they are using one of our flagship products and that they deserve that functionality. So I think there has been a lot of goodwill generated in the community when you look at actual business results, I think its really too early to tell but, and just as an indication of what we are going to do, we are going to continue to use you know, while our 2D products is a way to educate people not only about 3D, but all about model based capabilities. So you know, we think it’s an important thing and it’s an important training ground for all of the products.
Gene Munster - Piper Jaffray: And just your take on how business has been since --?
Alfred J. Castino: We don’t do a forecast within a quarter. What I will tell you that we are not relying much on all this -- really strong and I can’t tell you we had any particular pattern during the quarter that was -- everything in our guidance considered everything we’ve seen and we still get about our business in the second quarter.
Gene Munster - Piper Jaffray: Okay, then one last question -- question earlier on is, can you just -- again a 1% increase, I know this is just back of the arm little kind of stuff here, but a 1% increase in the penetration of 3D equates, how much revenue to Autodesk?
Carl Bass: So what we said is the 2% generated $31 million in the quarter.
Carol Bartz: Just -- we were looking at the penetration rate a year ago and the penetration right now, there was $31 million more revenue this quarter. You can’t exactly extrapolate that --
Gene Munster - Piper Jaffray: Yeah, you gave a description, that makes sense -- yeah okay.
Carl Bass: Yeah, but you can’t do the back of the envelop calculation, it gives you an indication of how important it is -- and you know, previous times we’ve kind of shown you that and at various different ways you know, the value of moving a number of customers or a percent of the installed base over it, so this is just a retrospective. I am not saying -- we provide it.
Gene Munster - Piper Jaffray: Okay, great, and I guess the one final question on the advanced systems is how much was that -- make you a lot of sense, the SGIs troubles impacting the business, how much on absolute dollars you mentioned kind of one of the negatives in the quarter. Was it $5 million, was it $30 million or any sort of absolute dollars so we can put around this impact from SGI?
Alfred J. Castino: Advanced systems was down 20% from the prior year, its less than 10%, so advanced systems has historically been -- in fact if you look at the current mix its roughly half of the revenue -- that gives you an idea.
Gene Munster - Piper Jaffray: Okay, great, that’s helpful and thank you.
Operator: [Operator Instructions] Your next question comes from the line of Daniel Cummings from Bank of America. Please proceed.
Daniel Cummings - Bank of America Securities: Thanks, I just wanted to follow up on Advanced systems, so if it’s less than 10 it’s obviously close to bottoming, is that correct? And if you could -- just give us a sense because I am going back to the analysts’ day, I’d like to know you know, has there been a big subtraction within the guidance on M&E and has it been -- you know, replaced by something else?
Carl Bass: Yeah, I mean it’s -- we were disappointed by our M&E revenue, particularly the system side of that business and you know, as we kind of pointed out, this was a quarter of a bunch of moving parts and we were able to make out for it in other ways you know, so while this quarter it is encouraging, we just talked about it in the second half so we obviously made up for it in volumes in other parts of our business.
Alfred J. Castino: Okay. And let me figure and understand, when you said less than 10, what I was talking about was -- I wasn’t talking about the total revenue, so again our systems were roughly half of M&E, $10 million a quarter. Yeah, I want to make sure you understood that point.
Daniel Cummings - Bank of America Securities: Is it -- is that still stepping down week over week right now, I guess the problem is right with the SGI bankruptcy?
Alfred J. Castino: I can’t tell you if it’s getting any worse but you know 20% down from the prior year is a pretty big decline, and I can’t say it’s the lowest --
Daniel Cummings - Bank of America Securities: Okay, then just you know kind of the replacement, Carl talked about it in terms of that being low margin -- I don’t know if it was -- but low margin business and moving towards the higher margin software solution, can you give us a sense of a magnitude or the difference in the operating margin?
Carl Bass: No, I mean -- we will break it out and some of it depends on increased volume based on the more attractive pricing and stuff so this is something that we’ll be happy to talk about as we go through the year, I think it’s a little bit too earlier right now to talk about it.
Daniel Cummings - Bank of America Securities: Okay, thank you.
Carl Bass: Welcome.
Operator: At this time there are no further questions in queue and I would like to turn -- oh I do apologize, I do see that we have one final question coming from the line of Tim Fox of Deutsche Bank, please proceed.
Tim Fox - Deutsche Bank Securities: Good afternoon -- two quick questions. One, Carl, you mentioned something about some timing issues in the Americas, can you just talk a little bit about that?
Carl Bass: Yeah, mainly related to the simultaneous retirement and release of the new products and you know that’s really what it was about which is things about the release -- point to the quarter and what the channel was expecting so it was more around that, it’s nothing that we did expect to continue so -
Tim Fox - Deutsche Bank Securities: Okay, and the second question is around AutoCAD and LT you mentioned that it was a record for both those products in the quarter and I was just wondering if you could talk a little about whether that was upgrades or primarily new seats and beyond I think its been a surprise the strengths that AutoCAD and LT has had across the globe, I’m wondering if there has been any shift recently in any of the geographies in the uptake or are we still seeing strength in America?
Carl Bass: No, I think the upgrade -- to answer your first question, I think those upgrades in new seats have continued to be strong you know, subscription has continued to grow along with that as much as upgrades. I think potentially the faster the upgrades have. So that part of the business is strong and there is no real differentiation you know across go’s. So I mean it’s just a healthy part of the business you know and still one of the more interesting things you know because you know as we’re seeing strength in our 3D business doesn’t really mean that you know it’s a zero-sum game with our 3D business. Our 3D business is continuing to grow, 2D while not growing as fast is growing faster than it has historically and you know, I think its really comes as a result -- you know of gaining market share, so its been a really nice phenomena.
Tim Fox - Deutsche Bank Securities: Understood, and lastly if I may, you changed the formula for your channel regarding their earn back last quarter. I’m just wondering if there has been any noticeable behavior change in the channel, any pushback around that, just any commentary around that -- the change, would be interesting.
Unidentified Company Representative: Well, the behavior -- I can tell you, is 3D -- and this specific product is doing great and our -- keep pushing the channel in that direction so I would declare it a success.
Carl Bass: Yeah, I mean, we are trying to -- look our partners business is growing with us. This has been a great time for them and we are trying with a steady hand to ensure that our strategies are alive and therefore their sources or other things that we think are most important, so we work together on that. Rather than a dramatic shift, this has just been another nudge in the direction of all we’ve been trying to accomplish.
Tim Fox - Deutsche Bank Securities: Thank you.
Carl Bass: Okay, thanks.
Operator: I apologize sir, oh, I apologize ma’am, I do have one final question, is there time for one more?
Carl Bass: Yes.
Operator: Okay. I have a question coming from the line of Michael Huang, with Thinkequity Partners, please proceed sir.
Carol Bartz: Michael? Operator?
Michael Huang - Thinkequity Partners: Hello, can you hear me?
Carol Bartz: Yeah.
Carl Bass: Yeah.
Michael Huang - Thinkequity Partners: Okay, Civil 3D turned in a very impressive quarter, I was wondering if you could attribute that more to improved product performance in the 2007 release or to an improving macro-demand environment, and then the follow up to that is -- do you believe that Civil 3D could actually grow faster than Revit in fiscal 2007?
Carl Bass: So -- I think what you’re seeing with Civil 3D, has been real -- some really great growth, one of the things that we’ve had that’s kind of different. We pointed out at different times, our civil engineering products historically were the only in the Americas, so as we start going on a world wide basis the -- localize it -- those products with the markets, we’re actually seeing rather fast growth, in some ways the markets were ready to accept some of it. I think it’s a little bit of a horse race between Revit and Civil 3D right now but Revit has been the odds on favorites for the last few quarters actually turning in really good performance. So, those continue real quickly and I am not willing to choose at this point which one is going to grow faster so.
Michael Huang - Thinkequity Partners: Okay.
Carl Bass: Well we will see as the year goes on.
Unidentified Company Representative: We are looking for both of them.
Michael Huang - Thinkequity Partners: And one last question then, can you comment on the adoption rates of the collaboration products including Productstream and Buzzsaw?
Unidentified Company Representative: Yeah, they actually, both Product Stream and Buzzsaw had very good quarters. Yeah, maybe next time we will give a little bit more detail about them but continuing the trends that you’ve seen in the past things we talked about in New York, if anything the one difference I would have said about this quarter is faster adoption among Productstream. So, that’s where there has been a little bit of -- an inflection point is been more around Product Stream, Buzzsaw has been running at a healthy clip and so Productstream, the newer of the products has actually had a good quarter.
Michael Huang - Thinkequity Partners: Great, thanks very much.
Carol Bartz: Operator?
Operator: At this time ma’am, there are no further questions in queue.
Carol Bartz: All right, well thank you everyone for joining us on the call. If you have questions feel free to call me and/or Castino and we will be happy to respond to your questions. Thanks for attending.
Operator: Ladies and Gentlemen, I would like to thank you for your participation in today’s conference. This now concludes the presentation. You may now disconnect and have a wonderful day.